Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2012 Employers Holdings Earnings Conference Call. My name is Amisia, and I will be your operator for today. [Operator Instructions] I would now like to turn the call over to Ms. Vicki Erickson Mills. Please proceed. 
Vicki Erickson: Thank you, Amisia, and welcome, everyone, to the first quarter 2012 earnings call for Employers Holdings, Inc. Yesterday, we announced our earnings results, and after the call, we will file our Form 10-Q with the Securities and Exchange Commission. Our press release and Form 10-Q may be accessed on the company's website at employers.com and are accessible through the Investors link.
 Today's call is being recorded and webcast from the Investor Relations section of our website, where a replay will be available following the call. With me today are Doug Dirks, our Chief Executive Officer; and Ric Yocke, our Chief Financial Officer.
 Statements made during this conference call that are not based on historical fact are considered forward-looking statements. These statements are made in reliance on the Safe Harbor Provision of the Private Securities Litigation Reform Act of 1995.
 Although we believe the expectations expressed in our forward-looking statements are reasonable, risks and uncertainties could cause actual results to be materially different from our expectations, including the risks set forth in our filings with the Securities and Exchange Commission. All remarks made during the call are current at the time of the call and will not be updated to reflect subsequent events.
 We use a non-GAAP metric that excludes the impact of the deferred gain from the 1999 Loss Portfolio Transfer or LPT. This metric is defined in our earnings press release available on our website.
 Additionally, the Financial Accounting Standards Board issued guidance that beginning in 2012, changed the definition of policy acquisition costs, which may be capitalized. During the first quarter of 2012, we recorded a $3 million increase to underwriting and other operating expense as a result of our prospective adoption of the FASB change in accounting methods for deferred acquisition costs or DAC. 
 The change in DAC accounting impacts the year-over-year comparison of our results. Therefore, the earnings announcement released yesterday includes reconciliations of results for the first quarter of 2012 compared with the first quarter of 2011, which illustrate the impact of the change in DAC accounting. Please see the earnings announcement for these detailed calculations. 
 As has been our practice, a list of our portfolio securities by CUSIP is available in the Investors section of our website under Calendar of Events: First Quarter Earnings Call.
 Now I will turn the call over to Doug. 
Douglas Dirks: Thank you, Vicki. Welcome and thank you for joining us today. Yesterday, we reported adjusted first quarter net income, excluding the DAC accounting change and before the LPT of $5.6 million or $0.17 per diluted share, an increase of $0.07 per share over the same period in 2011. Except for greater than expected growth in written premium, which is a reflection of a rapidly transitioning market, these earnings were fully in line with our expectations. Favorable and unfavorable variances in expected investment income and various expense components were de minimis.
 GAAP net income was impacted by a $3 million accounting expense for deferred acquisition costs, which dropped pretax earnings per share approximately $0.09.
 In terms of operating results, we reported an adjusted first quarter combined ratio, excluding the DAC accounting change and before the LPT of 117.1% compared with 122.4% last year, an improvement of 5.3 percentage points. While we are still near the peak of the workers' compensation business cycle in terms of combined ratios, pricing and competition in our markets are beginning to improve.
 We reported strong revenue in the first quarter, up 26% as a result of the ongoing impact of the growth initiatives we implemented in mid-2010.
 At the end of first quarter, we added over 18,500 policies year-over-year, increasing policy count 39% and in-force premium 33%. Retention of existing policies was strong in the first quarter of this year. Overall, retention of 87% improved 3 percentage points in the first quarter year-over-year and was stable compared to the fourth quarter of 2011. Our strategic partner business, which represents approximately 1/4 quarter of our book, demonstrated continued solid policy retention of 91% in the first quarter.
 The change in our net rate was a positive 0.6% year-over-year, led by California with a positive net rate change of 13.6%. This is the first year-over-year increase in overall rate we have seen in several years. This is encouraging and we believe an indicator that pricing in the market is continuing to firm.
 We will increase average rates in California an additional 6% as of June 15 of this year. Including this change, we have increased our filed pure premium California rates more than 40% since early 2009.
 In April of this year, the WCIRB submitted its pure premium rate filing recommending an average rate level of 4.1% more than the industry average filed pure premium rate level as of January 1, 2012. This recommendation was based on experience as of December 31 that indicated increased loss development on the 2010 and 2011 accident years, increased loss adjustment expense and lower forecast of wage growth in California for this year and next year.
 We will take this latest WCIRB filing and its underlying support data into account as we consider any additional rate action on our part.
 In Illinois, we increased average rates 13.6%, effective March 1, 2012. We also increased Florida rates 8.9% on January 1 of this year. In fact, as of May 1 of this year, in each of our top 5 states, we have filed for rate increases. These 5 states represented nearly 3/4 of our in-force premium at March 31. 
 We continue to actively and deliberately manage our capital. Our balance sheet remains strong, evidenced by the repurchase of over 1.1 million shares in the quarter.
 In the first quarter, we returned $18.7 million to shareholders through share repurchases. At the same time, our book value per share, including the LPT deferred gain, grew 2% to $25.51 at March 31.
 Approximately $74 million of the current repurchase authorization remained at the end of the first quarter. Since our initial public offering in early 2007, we have returned to shareholders nearly 120% of our net income before the LPT through share repurchases and dividends.
 At March 31, 2012, we had approximately $326 million in cash and securities at the holding company. We will continue to evaluate uses of capital relative to our organic growth, investment opportunities, capital retention needs, stock price and other factors. We have in the past generally chosen to upstream dividends from the operating companies to the holding company.
 Going forward, we may use cash to support our growth strategy and maintain the financial strength ratings of our operating subsidiaries. 
 Now I'll turn the call over to Ric for a further discussion of our financial results. 
William Yocke: Thank you, Doug. As Doug mentioned, in the first quarter, we continue to report strong growth in premiums in revenue. Excluding the accounting change for deferred acquisition costs, our combined ratio before the LPT was 117.1%, more than a 5-point improvement compared to last year's first quarter. The improvement was largely related to a decline in the underwriting and other operating expense ratio.
 The GAAP underwriting and other operating expense ratio improved 1.8 points year-over-year, largely driven by the increase in net premiums earned and cost controls enacted by management. Excluding the change in DAC accounting methods, the expense ratio improved 4.5 points.
 We indicated last quarter that we expected increases in 2012 underwriting and other operating expenses from the change in accounting method for deferred acquisition costs and from higher premium taxes. As previously disclosed, we expected the increase in expenses related to DAC to be recorded largely in the first and second quarters of the year with much smaller impacts in the third and fourth quarters. We still anticipate of the total $7 million in 2012 DAC expenses resulting from the accounting change, the remainder will be recorded as follows: 31% in the second quarter; 16% in the third quarter; and 6% in the fourth quarter.
 For the rest of 2012, we will continue to report financial results and performance measures adjusted to exclude these DAC accounting changes. The loss ratio before the LPT was down slightly year-over-year. Our provision rate for current accident year losses remained stable in the first quarter of this year at 76.9% compared to 76.6% in the first quarter of last year.
 The provision rate continued to be influenced by California operations. As in past quarters, we had slight unfavorable development, which was entirely attributable to our assigned risk business.
 We evaluate prior accident years reserves collectively and these reserves continue to remain adequate at the end of the first quarter. We again saw some unfavorable development in more recent periods, 2007 and subsequent, offset by favorable development in accident years prior to 2007.
 As we mentioned during the last call, in the fourth quarter of last year, we began repositioning our investment portfolio to modestly decrease our exposure to tax-exempt municipals, shorten duration and increase high-dividend equity securities. We completed that rebalancing strategy in the first quarter of this year.
 Our first quarter net investment income declined to $18.4 million from $20.5 million in the first quarter of 2011 due to the completion of the rebalancing of fixed maturity and equity securities in our investment portfolio in the first quarter this year and a slight decrease in yield.
 At March 31, our portfolio was primarily comprised of fixed income maturities, which were rated on average, AA or better. Equity securities represented approximately 6% of our total portfolio, up from 4.2% at the end of the first quarter of last year.
 The average tax equivalent yield of the portfolio was 4.9%, down from 5.3% at the end of last year's first quarter. The duration of the portfolio was relatively short at 4.3%. 
 With that, I'll turn the call back to Doug. 
Douglas Dirks: Thanks, Ric. We reported strong revenue in the quarter and broad -- with broad rate strengthening, which points to a strengthening workers' compensation market. Our operating performance improved relative to last year's first quarter, even without the impact of the $3 million DAC accounting change that increased underwriting and other operating expense. 
 The business is performing to our expectations at this point in the cycle. We remain committed to further improving our operating performance as the market conditions improve and continuing our focus on growing long-term shareholder value.
 Operator, now open up the lines and we will take questions, please. 
Operator: [Operator Instructions] And your first question comes from the line of Mark Hughes with SunTrust. 
Mark Hughes: What kind of rate increases do you think we need to start whittling away at that loss ratio? 
Douglas Dirks: Well, if you just look at the reported results at 117%, if the goal was to be at 100% combined or better, that defines the amount of rate increase that would be necessary. Now some of that advantage would come through scale as we continue to grow the business. So it doesn't all have to come from a rate that will drive a better loss ratio. But if you think about it in those terms, Mark, that gap between the reported result and 100% or better is what our objective is. 
Mark Hughes: Would it be safe to assume that the rate increases you're getting now or will get in Q2, Q3, that those are going to be sufficient to start, as I say, sort of reducing that loss ratio, not to get all the way to 100% combined, but at least to start to see that loss ratio come down rather than holding steady like it did in Q1? 
Douglas Dirks: One of the things we'll be looking for, what the changes might be in the loss trends. And if you look at not only California, but a number of other states, there has been a moderation in loss trends. And so we're getting to a point in the cycle now where our expectation is that rate increases are greater than the loss trend, and consequently, that should start relieving some pressure and allowing the loss ratio to come down. 
Mark Hughes: Okay, great. The -- then the expenses sequentially, I certainly understand the $3 million from the DAC change, but it looked like expenses were up even more than that. Again, on a sequential basis, you looked quite good in Q4 and then seemed to lose some ground in Q1. Any more color on that? 
Douglas Dirks: Yes. There are a couple of things to focus on. Included in that number are some variable expenses. So when you're looking at the absolute expense ratio, you have to factor in the variable component associated with premium tax and bad debt. So that will impact some of that. It's not all fixed cost and that represents generally somewhere in a range between 5% and 6%. It's not steady. It's dependent upon the states where the growth is coming. But you have to factor that piece in. We would expect that as we go through the year, we will continue to build scale, and so we will see some increases in absolute expenses over the previous periods and over the previous year, but we expect to see a continuing decrease in the operating expense ratio. 
Operator: [Operator Instructions] And the next question comes from the line of Amit Kumar with Macquarie. 
Amit Kumar: It's Amit Kumar from Macquarie. Just going back to your opening comments regarding the reserve development. Could you just expand on that? I think you said there was some reserve development from 2007 and later, which was offset by a prior period releases. Could you just sort of expand and maybe share those numbers with us? 
Douglas Dirks: Sure, I'll give you some broad ranges. When you look at -- let's look at the 2007 through 2010. '11 is a very green period still, so let's focus on '07 to '10. We did see some development there, but very modest. Consistent with what you might expect given our conservative approach to reserving, but the numbers by year have been very modest, offset by prior periods. And so we're not seeing anything in that development that suggests there is a trend that we need to be concerned about. In fact, what's happened in California, in particular, has been a moderation. If you look at those years, they range anywhere between $1 million to $2.5 million of adverse development on a total reserve of -- in excess of $1.3 billion. So we are talking about very modest changes in our estimate for those years. 
Amit Kumar: Got it. So net-net, it's single-digit adverse offset by single-digit releases? 
Douglas Dirks: Correct. 
Amit Kumar: Got it. That's very helpful. Secondly, just the discussion on the business mix. I'm wondering if you could quantify what you think the new business margins are versus business which is being renewed. 
Douglas Dirks: Well, new business typically has an average rate higher than renewed business theoretically. And I think factually, there is some risk in writing new business. You know it, less wealth [ph]  in your renewal business and it's priced accordingly. And so you would expect that the margins are adequate on that business. I think the most important thing in looking at our book is there has been a shift down to A and B hazard business, which typically generates higher frequency but lower severity, and our experience is consistent with that as well. 
Amit Kumar: Okay, that's helpful. And then -- and I guess related to that and maybe a follow-up to the last question. I mean, when you look at the mix of the book, when do you foresee returning to an underwriting profit? I mean, you're getting -- probably you'll soon start getting rate on rate. And if you sort of look at the rate on rate and the discussion on the increases which you expect to get going forward, I mean, is it fair to say that, at least in your plan, you think that maybe end of 2013 you could get there? Or is that too optimistic? 
Douglas Dirks: I'm not going to provide you a forecast there, Amit, but certainly when you look at the level of rate increase we're getting right now and the momentum of the market, if that were to continue, we're optimistic that we're going to be able to drive better results from 2 areas. One will be decreasing loss ratio. The other will be the scale we're building in the business and an improved expense ratio. And certainly, everything is moving in the right direction. There are always broad macro issues that you have to be concerned about. But given the current trends, we're very encouraged with the speed with which we're able to push through rate increases. The competitive environment, though still something we have to contend with, is much better today than it was 1 year ago. 
Amit Kumar: Okay. Last question and I'll reach you. Just based on, I guess, your -- the discussion on capital management and maybe I misunderstood this. Is it fair to say that based on your opening comments, we should not factor in a buyback or I guess a meaningful buyback going forward? Is that fair, or did I get that comment wrong? 
Douglas Dirks: That is -- I would not characterize that as a fair statement. As I indicated, we still have, in our capital management plans, an ability to consider share repurchases, downstreaming capital to support the growth in the operating companies and to pursue strategic M&A. And so based on a number of factors as to the share repurchases, which may be market price and other considerations, share repurchases are still a part of our capital management strategy. 
Operator: And the next question comes from the line of Mark Hughes with SunTrust. 
Mark Hughes: I wonder if you could give us a little more detail on the new business, the extent of which it's coming through. Your new distribution initiatives tends to be -- I think there's a lot of technology involved in evaluating and underwriting those new risks. And then geographically, where is it coming from? I know -- I think you've discussed going into some new markets in the Northeast, perhaps, with some of your partners. Could you give just a little more clarity on what's driving the growth? 
Douglas Dirks: Sure. Let's start with the broad numbers. We have seen growth in most of our states since the beginning of the year. The states where we have not had growth, the decline in premium has been very small. So in fact, we're -- and that may be related in some cases to an individual account. So we are seeing growth across the country. We attribute that to a number of factors. Certainly, the deployment of our technology beginning in late 2010 has had an impact. Increasing the number of distribution points across the country has had a favorable impact on our growth. Our strategic partner business is becoming a larger part of our book as that has been expanding into some new states, most recently expanding into New Jersey for us. We have additional technology initiatives that we'll be rolling out later this year that we expect will improve the ease of doing business and the customer experience for our agents and our insureds that will support growth going forward. We also expect that, that will deliver some better pricing tools for us to allow us to more aggressively respond to improving market conditions. 
Mark Hughes: How do you think about -- at this point in the cycle, the decision to be perhaps more selective or more aggressive with your pricing, sacrificing a little bit of the top line versus -- I think you're taking the -- a different tack, which is to grow aggressively, still get pricing but it seems like you're -- there's a little more emphasis on the top line. How do you think about that? 
Douglas Dirks: Well, let's look at California. The WCIRB has just provided some insight into what happened in the California market over the last couple of years. We contracted and gave up share in 2010. If what the rating bureau in California is seeing is correct, 2010 was a year that it made sense to contract and give up share because 2010 is developing unfavorably across the market. We grew share in 2011 and we started growing share at a point when the pricing started to improve. And as I indicated, we're getting now in excess of 13% year-over-year rate. So we think we fit the opportunity to grow appropriately in California, and I think we'll see over time that similarly the balance of the country is delivering the same result. 
Mark Hughes: Right. And your reserves did look more conservative, let's say, this year in your stat filings. 
Operator: [Operator Instructions] Ladies and gentlemen, this concludes the question-and-answer session for today's call. I would now like to hand the call over to Mr. Doug Dirks for closing remarks. 
Douglas Dirks: Thank you very much, operator. Thank you, everyone, for joining our call today and for your participation. We look forward to speaking with you again next quarter. 
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a great day.